Operator: Thank you all for joining us this morning. Before I turn the call over I need to advise that Brio Gold has filed a preliminary prospectus with respect to its common shares. The prospectus is not complete, and a receipt has not been issued. During this time Yamana is not permitted by Securities legislation to talk about the offering or Brio Gold. A copy of the preliminary prospectus is available under Brio Gold's profile on SEDAR at www.sedar.com. There will not be any distribution of purchase rights or transfer of Brio shares until a receipt for the final prospectus has been issued. For more information you may contact one of the managing dealers noted in the preliminary prospectus. In addition, certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices, and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana's press release issued yesterday announcing third quarter 2016 results, as well as the Management's Discussion and Analysis for the same period and other regulatory filings in Canada and the United States. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12:00 P.M. Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana's Web site at yamana.com. I will now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Thank you very much for that. Ladies and gentlemen, let me begin by indicating that we're here with several members of our management. Amongst those would be Daniel Racine, Barry Murphy, William Wulftange, Jason LeBlanc; also here is Yohann Bouchard, Gerardo Fernandez, Darcy Marud, Chuck Main, and Greg McKnight. Our speakers in addition to myself would be Daniel Racine, Barry Murphy, William Wulftange, and Jason LeBlanc. I thought I would take the opportunity this morning to again highlight something that is important to us, our strategies, and the tactical priorities of this company as it relates, not only to Q3, but for this year, and to the years to follow. We are an Americas focused company. We are a growth company. We look at growth across several measures. Not only in terms of number of ounces, but that balance, as we've discussed before, between production and costs, cash costs, but all costs, in order to deliver quality ounces as much as we are delivering an increase in the overall number of ounces. We look for exposure in world-class mining jurisdictions. Clearly the four jurisdictions in which we're operating today, from Canada to Brazil, to Argentina, to Chile, certainly from a mining perspective represent world-class high-quality mining jurisdictions. What we look for in these jurisdictions is not only mining pedigree, but also places where there is an established protocol for mining, laws and regulations that are adopted to what the mining needs are. There's a certainty in terms of what to expect from those laws and those protocols, all the way from exploration through development, production, and then ultimately reclamation. We do take a portfolio approach to the management of assets. And that's important. There will be occasions where something does not fit into the portfolio of the company or something should be looked at as a better contributor in a portfolio. We look to operational execution. So from the beginning of 2015 through to 2016 we're looking at operational improvement, we're looking at the delivering, on production, and on cost. There will be several quarters where we may not get to the right number for one reason or another. But we normalize that over a number of quarters to get to what is our guidance and our expectations for the year. Interestingly we're an organic growth company, although we supplement that with strategic acquisitions. Going forward into the next several years, we anticipate that the portfolio that we have, and we'll talk on some of the exploration successes, near-to-development stage successes in this company, and opportunities in this company will allow us to focus very significantly on organic growth rather than on acquisition. And of course we focus on cash flow, and cash flow optimization. And cash flow optimization also includes the improvement to free cash flow. So technically we look to operational execution, improvement in the quality of management that is primarily suited to the asset portfolio that we have, to the management of the assets in this company, and also the balance sheet in this company. Let's look at little bit at Q3, and how that portends for Q4, and the years to follow. If we look to the right-hand side of the page, the page that is now represented, we produced just over 328,000 ounces of gold. We distinguish between continuing operations and Mercedes, as Mercedes was closed at the end of the quarter, a total of 328,000 ounces and from continuing operations just over 305,000 ounces. For silver we produced 1.7 million ounces of silver, and again from continuing operations that represents 1.6 million ounces of silver. To the left-hand side of the page then, all that gold, 305,000 from continuing operations was produced at total cost of sales of $1,038, co-product cash cost of $692, and co-product all-in sustaining costs of $965. Production for silver, 1.6 million ounces, and again, the cost as you see here, copper production of 29.6 million pounds, with total cost of sales of $1.91 per pound, co-product cash cost of $1.60 per pound. There's a line item missing, but it's reflected in Jason's part of the presentation, of co-product all-in sustaining cost of $2.15 per pound. We do anticipate our costs to improve. In the case of gold and silver we certainly would expect ourselves to be, and we believe that we are bottom quartile, although we would like that to improve. And we anticipate that through Q4 that should be improving. I want to highlight a number of other points as well. There is a higher inventory of gold and copper that is not sold in Q3, roughly 9,000 ounces of gold and 7.5 million pounds of copper. This is mostly from Chapada; it will be reflected in Q4. There was very significant production in Chapada as it ramped up from the in-pit failure in Q2 through Q3. September was an important month. And September, with the ramp-up completed, Chapada produced 14,300 ounces of gold, and 11 million pounds of copper, all at higher grades and recoveries. And this portends well for expectations for Q4. Q3 and September in particular significantly exceeded our budget. That great ramp-up after the in-pit crusher mechanical failure issues in Q2, it should noted it is a very high quality effort that was undertaken by the mine and the senior management from Toronto. However, with the late arrival of concentrate in Q3 it would not be possible to cover the logistics for transport and sale. These are settled often long in advance as part of the logistics process for the shipment of that volume of material. This is unlike the sale of Doray [ph], where production and sales more closely match. So after a mechanical failure that reduces concentrate production, as occurred in Q2, there is a need for inventory buildup, and that is natural. Significant production improvements occurred at Chapada, Florida, Gualcamayo, and Canadian Malartic. And this continues in Q4. And in El Peñón production in particular there is an increase in Q4, mostly because of grade improvements in Q4. Grade is on budget in October, El Peñón, well above five grams per ton with several periods in the month that were above six grams per ton. Costs were higher in Q3, although they will normalize in Q4. Jacobina had additional development above budget which advanced from Q4. So it averages out between Q3 and Q4. So the full year is still expected to be well below where we are today. And Daniel will speak to that in a few moments. Chapada costs were higher due to the ramp up after in-pit failure in Q2, as I mentioned before. In terms of cash flow, $178 million of cash flow, and an increase in free cash flow in the quarter. And of course, as I mentioned, with that inventory buildup at Chapada that is not reflected in our cash flow for this quarter, we anticipate it reflecting in cash flow in Q4. And we made significant advancements in the quarter toward the goal of that $300 million of net debt reduction that we discussed at the beginning of this year, so, improved balance sheet with monetization of assets and securities, and organically with available cash from operations. We continue to streamline and enhance management. Now also with an appointment of a quality executive officer who will be focused from our Toronto office on supply chain inventory and working capital. We continue to centralize our leadership in Toronto. We continued improvements in operations and delivery on plan both for production and costs. We continued the development of high quality projects, Cerro Moro in particular, although also the highly strategic advancement of Suruca and Chapada. We continued the success with the drill bit on exploration at our existing operations, and in particular at Gualcamayo, Chapada, Canadian Malartic, and Jacobina. We increased cash flow and free cash flow in the quarter compared to the prior quarter Q2 and the prior corresponding quarter in 2015. Operational performance then was in line with expectations in Q3. We're on track to meet or exceed our consolidated full-year metals production guidance. We continue to streamline and improve our management. We have an increasing cash flow and free cash flow. And we continue this prospective value-creation through exploration. And of course, we can't overlook the importance of development, and particularly with Cerro Moro, and Suruca, as I mentioned a moment before. And with that brief introduction, ladies and gentlemen, let me pass it to Daniel Racine for a more in-depth look at our operations.
Daniel Racine: Thank you, Peter. Good morning everyone. I would like to begin by reviewing our highlights for the third quarter. Operationally we had strong performance and quarter-over-quarter increases in gold production for a number of our mines. Increased gold production included 65% at Chapada, 19% at Minera Florida, 6% at Gualcamayo, and 5% at Canadian Malartic. Given year-to-date result we are well-positioned to meet or exceed our consolidated full year gold and silver production guidance. In addition, Yamana has a track record of strong fourth quarter production, which we expect to continue this year, and support our confidence in being able to deliver on expectation. Looking at cost, we see that strengthening local currencies in the quarter continue to have an impact. We generated $178 million in operating cash flow, and $94 million increase compared to 2015. This contributes to a $70 million increase in net cash flow. Finally, we reduced net debt by $163 million from the second quarter. Turning to our operation, Chapada delivered strong quarter-over-quarter improvement with increase in gold and copper production, 65% for gold, and 28% for copper. The crusher is now showing optimal performance, and we have addressed the challenges encountered in the second quarter. In addition, the flotation circuit retrofit is completed and performing as expected. Looking at the month of September, we see the result of this improvement. Grade and recoveries increased, and monthly production was 14,000 ounces of gold, and 11 million pounds of copper. We expect the strong Q3 performance to continue in Q4, and in 2017. In addition, we have done optimization to that -- that are going underway right now that we expect to increase recovery by approximately 2% for a modest investment of approximately $2 million. There continues to be plenty of opportunities at Chapada as the exploration program is expanding mineralization on the property, namely at Suruca, Sucupira, and Formiga. Turning now over to El Peñón, El Peñón mine development increased further in the quarter, and is supporting an increased contribution from narrow vein areas in the mine. Grade so far in October is above five gram, and that level will continue through the quarter. Q4 is expected to be the best quarter this year. Recent exploration discovery has been mostly in narrow vein and historical mineralization, and in this context we are evaluating these narrower veins to determine optimal production and gross profile including evaluating our annual exploration and development stand. A revised mine plan for El Peñón is expected to result in better overall cost, maximized cash flow and increased level of mine for the operation. Now into Canadian Malartic the mine continues to be a strong and consistent performance with an increase of 5% in production compared to Q2. Other development includes the ongoing exploration at Odyssey that is expected to provide optionality to enhance production and life of mine at Malartic. Also the permitting of Barnat continues to advance. In early October the BAP report was made public and the conclusion was that the project is acceptable. The next step is for the ministry to review the report and submit the decision to the provincial cabinet. No firm date has been set for decision, but we anticipate that may occur in the first half of 2017. On Gualcamayo we continue to have a strong performance this year with another quarter-over- quarter increase in production. Exploration is making important discoveries under property. These oxide discoveries are near the existent bit and expected to be amenable to the current heap leach process. This represents unique opportunities to increase mineral resources and potentially contribute to production. We are also advancing the deep carbonates project which has been shown to be technically and economically viable at the concept of oil study level. The next step is an extensive drilling campaign to expand the mineral resource base and thereby enhance the project economic. At Minera Florida gold production increased 19% compared to the second quarter and we expect gold and silver production to increase in Q4. Historical gold production at the site has been in excess of 1 million ounces and we recently acquired land package suggests similar potential that William and his team are beginning to explore. Jacobina continues to exceed expectation. Year-to-date production is 30% above the first nine months of 2015. During the quarter we made some sustaining capital investment that impacted Q3 all in sustainable Cost but these investments are expected to support sustainable higher production at lower cost. All in sustaining cost will go down in Q4 and in 2017. We are seeing fit grade coming down a bit at Jacobina. This is the result of incremental or being mined outside of the defined mineral reserve Boundaries. This material is economic so it is being mined. When we look at material within the defined mineral reserve boundaries we are seeing good reconciliation to our reserve grade estimate. Lastly the mine in our Brio division delivered Q3 production and cost in-line with guidance and internal expectation. To put all these result together, we see that we are tracking well on consolidated gold, silver and copper production. Recall that we have a track record for the fourth quarter being our strong contributor to production, so from a production standpoint, we are very well positioned. On the other side we are tracking well against all cost metric and Jason will provide more costs later in the presentation. Lastly I'd like highlight an area we believe has the potential to contribute to cost reduction initiative and pick up on something Peter mentioned. In 2014, a process to streamline and enhance management was begun, and this at the goal of simplifying our reporting. As a result of this process we have now a linear management that is well suited to our asset portfolio and we continue to centralize critical leadership in the Toronto office. We have identified that supply chain inventory working capital, and programmings have been areas with potential to drive the next phase of cost saving at Yamana. To round up management we have completed the appointment under VP Procurement that will report directly to myself. When we look at this illustrated example, the combination of our ongoing initiative and specific initiative relating to appointment of VP Procurement, we see the opportunity for significant saving. Our global annual spend is just above $1 billion and we are able to achieve a reasonable saving of 5%. We could see total saving of over $50 million per year. I will now turn the call over to Barry.
Barry Murphy: Thanks, Daniel, and good morning everyone. As Peter mentioned, I'm going to speak briefly on two of the more important development projects that we have in Yamana at Cerro Moro and the Suruca project in Brazil. Cerro Moro is obviously our advanced age of a project in Southern Argentina. In Cerro Moro we are advancing well and we hit a baseline schedule in all areas that are underway, and with the overall average approximate progress of 20%. And the three key areas that we're working on at the moment of the underground mine development, the process plant construction and we're advancing detailed engineering. On the underground development, we've completed 531 meters of the 617 meters planned for the year. As mentioned, we're ahead of schedule and we'll probably be able to advance slightly further than the planned 617 meters. And a detailed engineering, we currently sitting at 78% complete at the end of quarter three and our plan is to advance that to 85% complete by the end of the year. And then on the process plant, the construction of the process plant is advancing well and is also hit of a baseline schedule with all of the bulk rigs having been completed and bulk concrete works underway and advancing well, and hit of schedule as well. Importantly the more foundations we report last month and the mill itself as past through the Argentinian customs during the same month. Those are two critical milestones that we made. So in Cerro Moro, we're still on track for the first goal ore in early 2018. Moving on to the Suruca project, Suruca is -- it's a high -- it's an oxide shallow ore body close to the Chapada site in Brazil. We are advancing with drill campaign that will prevent the resources, we recently approved a 20,000 meter drill campaign that will take us through to quarter to next year. And we're also advancing well with the completion of the feasibility study expected to be delivered in quarter three next year, and that's very much predicated on the receipt of history permits. And those ore body, we expect to be able to produce between 45,000 and 60,000 ounces of gold out of a four to five year mine and we expect the start of that operation to commence in 2019. So with that, I'll hand over to Butch to provide an update on the expiration.
William Wulftange: Thank you, Barry, and good morning everyone. I'm happy to report that during the third quarter exploration had significant success in advancing our goals of resource discovery and growth at many of our operations including our core mines. At Chapada exploration is discovering new deposits at Formiga only 15 kilometers from the Chapada mine site, exploration is finding new resources at the Sucupira deposit, immediately adjacent to north wall of the Chapada main pit, and exploration is drilling and expanding resources beneath and southeast of Suruca oxide gold deposit near the main Chapada workings. And this deposit, the Suruca deposit as depicted in the figure at the bottom of the slide. At El Peñón, exploration tested structures parallel to the major structures and began expanding the program of developing orphaned high-grade intercepts beneath the broader Colorado, Quebrada Orito, Providence structures to add new ounces to the mineral inventory. At Canadian Malartic infill drilling of the Odyssey deposit has returned positive results. Please look for a new inferred resource statement at year's end. Drilling will continue into Q1 or to Q2 of 2017 to develop indicator resources that could form the basis of a pre-feasibility study there. Next slide please. Like walk a mile, a second change budget of $5.5 million, which brings the total 2016 budget to $13 million was approved to further discover and for further discovery and infill work at the Cerro Condor and potentialities deposits in an effort to define additional resources and reserves by year end. These discoveries will not only contribute to the near-term mine production profile, so they will also open up new areas on the property for targeting discovery and significant resources and reserve growth in the coming years. The figure on the bottom left of the slide shows, Cerro Condor and potentialities locations with respect to the QDD main pit and the figures of the right provides a view to the east perspective of the QDD main pit looking at Cerro Condor from the potentialities target. So these are - these new discoveries are right there. They're going to be very amenable to extractive procedures. At Mina LaFlavida, Yamana has completed the purchase of other concessions with the family, which secures the future of this mine and the Yamana envisions that future resources and reserve growth will be equal or surpass what has already been discovered on this property. At Jacobina, the story of discovery and definition, multiple intercepts of higher than average grade, deposit grade continues. During the third quarter, exploration began testing new areas South of Canavieras deposit with very positive results. I'll now turn the presentation over to Jason.
Jason LeBlanc: Thank you, Butch, and good morning everyone. Before reviewing our financial performance this quarter, I would like to remind changes to our financial reporting that you will have seen. Firstly, we have begun reporting total cost of sales this quarter, which will better reconcile operational measures to accounting measures. We've been working with the OSE [ph] to ensure that we provide greater prominence to GAAP measures, while continuing to provide extra information to our investors using non-GAAP measures. Total cost of sales per unit is a GAAP measure and it includes DD&A. We will now provide total cost of sales for gold, silver and copper on both the consolidated and a mine by mind basis. Reconciliation of total cost of sales to existing operational measures those being costs and all in sustaining costs are available in Section 13 of our Q3 MD&A. We have also begun reporting revenue per unit of metal sold, a new GAAP measure, in addition to average realized price per unit in metal. As this with our first quarter reporting total cost of sales and revenue per unit of mental saw the volume of disclosure were significant, but we do not expect to be as lengthy going forward. This means that going forward, we will report total cost of sales per unit of gold, silver and copper salt, as well as co-product cash cost and co-product on sustaining cost per unit produced of gold, silver and copper. We believe these updates to our reporting will increase transparent and understanding. Separately, I would like to highlight the potential differences between sales and production volumes that can result from the logistics and timing of shipments. This can impact our financial results during the quarter. Results of Chapada this quarter are a good example. If we look at sales volumes, we see they're below production by approximately 9,000 ounces of gold and 7 million pounds of copper. This difference was primarily the result of normalizing concentrate inventory levels during Q3 after we drew down concentrate inventory in the second quarter to meet logistic scheduling while Chapada had anomalous quarter. That being said, we expect sales and production to more closely align at Chapada going forward. As you heard, we are tracking well on production guidance for gold, silver and copper. We are also tracking well on all cost measures in with a new reporting measure, total cost of sales, we are also providing guidance for consolidated total cost of sales per unit sold for gold, silver and copper. This new guidance for this measure is in addition to the cost guidance we are previously provided that is based on units produced by guidance for consolidated co-product cash cost and co-product all-in sustaining costs remains the same and we can see that on a year-to-date basis, we are firmly in the range that we have guided. Turning now to financial performance in the third quarter, revenue of $464 million was up approximately $40 million or 9% from 2015. Intern net earnings and adjusted earnings increase compared to 2015, by $104.9 million or $0.11 per share and $33.5 million or $0.04 per share respectively. Increased earnings were driven in by higher mine operating earnings and lower G&A and DD&A. We did have an uptick in expansionary and total expiration spending as planned. Looking at cash flows, we see a strong performance as we continue to focus on generating, sustainable and increase in cash flow. We expect a strong performance to continue as quarterly production is expected to be at its highest level for the year in Q4. We are also continuing to show strong margins as we focus on increasing production while keeping an eye on costs. Gross margin and EBITDA margin, which we began highlighting in the first quarter of this year both increased in the third quarter and first nine months of the year compared to 2015. We are focused on improving both dollar and percentage margins through higher production and constraining our costs in a favorable gold price environment. On the topic of cost containment, I also wanted to highlight further currency hedging that was put in place recently for our Brazilian costs. Subsequent to quarter end, we entered into callers for BRL400 million of exposure with a caller range between 3.25 and 3.8 covering the May, to December 2017 period. This is in addition to approximately BRL$300 million of hedges outstanding at the end of Q3 with a caller range of 3.4 to 4.13 that will expire through April 2017. The significant financial performance continued to be translated into increased free cash flow in the quarter. In the quarter, we generated just over $78 million of net free cash flow, up almost $70 million from 2015. And in the first nine months, we generated over $155 million of net free cash flow, up $177 million from 2015. Net free cash flow continues to increase and support our efforts to strengthen our balance sheet and reduce net debt. During the quarter we also advance initiatives that augmented the cash flow generated by operations and I would like to highlight a few of these. This is part of a strategy we have implemented to increase cash balances and provide greater financial flexibility to pursue organic growth. We've raised $122.5 million plus $26 million in shares, warrants, and NSR value from the sale of Mercedes. We expect a further $22 million in cash proceeds from the sale via income tax and VAT recoveries that we expect to be realized over the next 12 months. We also monetize our sandstorm share purchase warrants in the quarter for $33 million that's what we did in the third quarter and we have a number of other initiatives on the go including the premier gold purchase rates offering. These initiatives supplement increasing margin and cash flow expect from our operations. I'd like to finish by taking a look at our financial flexibility. We have over $240 million in cash and cash equivalents and approximately $824 million in un-drawn credit available that provides us with ample financial flexibility. This is especially true when we consider that we have modest debt repayment of approximately $94 million due over the next 12 months. We also have other non-cash considerations such as the premier gold shares and warrants that we receive from the Mercedes sales that we can evaluate in time. In addition, we have other ongoing monetization initiatives that will further enhance our financial flexibility. I think this position us well for our longer-term target to reduce net debt to less than $1.25 billion and we target a net debt to EBITDA ratio of 1.5 times a better. I will now turn the call over to Peter.
Peter Marrone: So ladies and gentlemen, to conclude the presentation, let's talk about Q3 and Q4, and into 2017 and the years to follow, we talk about portfolio. So I'd like to say that the objective here is to improve the portfolio. We will have an increasing focus on assets with the current production profile or the potential over a very short-term, a year-ago, a couple of years to achieve production platform of at least 130,000 ounces per year at higher grade and lower costs and most of the profile of the six continuing mines in Yamana and of course Cerro Moro as the seventh of those mines. That would certainly be true. We will continue to look at reducing overhead and improving our costs. We'll continue to advance development projects on time and on budget and we're very pleased with the effort in particular on Suruca and on Cerro Moro. We are developing optimal mine plants to balance life of mine annual production and overall costs. We're then demonstrating additional potential through the exploration successes that Butch referred to and one important point, while we look at this map of the Americas, one of those countries in the Americas is Canada. And I want to make sure that we clearly state our intention, our objective and our strategy. We expect more production coming from Canada. Initially from Canadian Malartic, we will continue to advance other projects. In our objective ultimately over the course of the next two to five years is to have one other mine in Canada. So with that, ladies and gentlemen, thank you, and we'll open the call up to questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]
Peter Marrone: Are there any questions?
Operator: Yes, the first question is from Andrew Kaip of BMO. Please go ahead.
Andrew Kaip: Hi, Peter. Thank you very much for taking my questions. I have two questions. One is with regard to the new reporting that you're looking at on a cost of sales case. And I'm just wondering if we look at Chapada, and we look at cost of sales attributable to copper production, how can we best estimate how you're calculating that? Is the cost of sales for copper at Chapada related to the percentage of revenue or are there subtle differences that we need to take into consideration?
Peter Marrone: So, it's the same attribution where we would generally allocate sales between copper and gold at a split of 80% for copper, and 20% for gold. So the difference to the production measures is that we're picking an amortization of our DD&A through that total cost of sale measure as well. So you have that difference between -- with the DD&A being included in the cost of sales and not the production measures. Same split [ph] on metals if they'll approach it the same way.
Andrew Kaip: Okay, so for Chapada, is it on a go-forward going to be 80% copper or 20% gold, is that how it's going to work?
Peter Marrone: That's the approach we took this year. It's something that we'll look at prospectively just to make sure we have the right allocation of cost between the two metals.
Daniel Racine: Andrew, one of the things that we're looking -- it's a good question that is in evaluation. Historically we've done an 80-20 split between copper and gold. And that was consistent with the revenue contributions. What we're looking at presently is rather than a fixed ratio, similar to what we've done with silver and gold at our silver and gold mines, where we're apportioned costs to the two metals based on revenue contributions, as we're looking to see if we should adopt a similar approach at Chapada as well. For now, we're still staying with the 80-20, but we're evaluating whether or not we should change that to be more consistent with what we do with silver and gold attribution of costs at our other mines.
Andrew Kaip: Okay, and Peter, just so I'm clear, so at El Peñón, for example, on a quarter-by-quarter basis the cost of sales attributed to silver would fluctuate based on the revenue split between gold and silver?
Peter Marrone: That's correct.
Andrew Kaip: Okay, thanks. The next question I have is really for Butch. Butch, I'm intrigued about what's going on at El Peñón, and about going back to Quebrada Colorada. It sounds like the base of the vein was probably not considered in previous mine plans for grade reasons or something along those lines. Can you give us some insight in what exactly is going on there, and what the thought process is?
William Wulftange: Sure, Andrew, no problem. I think you're probably familiar with some of the geologic characteristics of that system. One of the early discoveries that we hadn't baked into the definition of the grade shows [ph] and eventual production profile -- solids at Penon, specifically, say it was -- let's talk about Quebrada Colorada. It was the fact that after we began mining there were some low-angle structures that were discovered that offset some of veins marginally or up to 50 meters. In fact, this recognition led to the discovery of what became the infernal pit at Quebrada Orito. So we've gone back and looked at the margins of these deposits, and looked beneath for drill holes that did not make into the original mining profile of the various veins. We found several, especially throughout the length of Quebrada Colorada that actually were what I refer to as orphaned drill holes, so couple -- two or three liters or ten, twenty grams, for instance, on that level. That we've now gone back and said, well, we should try and go back and in-fill drill and see if we can extend these zones. And we're having some success at extending some of these orphaned drill holes beneath the deposits, and equally between some of the pits and towards the surface, so that's essentially what we're talking about is going back, and looking at some of these other areas.
Andrew Kaip: Okay. Now, that makes sense. It puts it into context now. Those are my questions. Thank you very much.
William Wulftange: Thank you, Andrew.
Operator: Thank you. [Operator Instructions] The following question is from Botir Sharipov of HSBC. Please go ahead.
Botir Sharipov: Hi, Peter and the team, thanks for taking my questions. A couple of them from me, one on Pilar, looks like costs jumped quite a bit quarter-over-quarter, and obviously the strengthening of the Brazilian real didn't help. But could you probably elaborate on what transpired at Pilar during the quarter?
Peter Marrone: Botir, we're regrettably limited to what we can and cannot say about the assets that are in the Brio division. I guess what we can say however is what's in our disclosure. And what we've disclosed is that there was more development work that was done in the quarter that should normalize over the course of Q4. And so the guidance that has been provided, you mentioned currencies. So if I exclude currency for a moment, the guidance that has been provided over the course of the year should continue to be good. Currency does have an impact. These mines are impacted by currency. That is as we have disclosed. And so clearly an objective should be to see how we can try to improve some of the currency aspects, in other words, to eliminate that as a potential risk. Jason mentioned the action that Yamana has taken on providing collars, and they're very decent collars into 2017. You may be aware that a collar into the next couple of years could be between 3.2 and 3.8, and a forward into the next couple of years could be as high as 3.5 when the currency is presently 3.1. So I would anticipate Yamana has taken certain steps in its producing mines in Brazil. It's taken certain steps to try to mitigate the risk of currency. And I think you make a valid point that currency does have an impact on these operations, and that's something that needs to be looked at.
Botir Sharipov: Okay, thank you. Then I guess, obviously El Peñón is undergoing some changes in the mine plan. Could you maybe broadly outline what your cost and grade expectations are for the next couple of years?
Peter Marrone: For which mine?
Botir Sharipov: El Peñón.
Peter Marrone: Gerardo, would you like to answer that?
Gerardo Fernandez: Yes. Well, as stated in the disclosure, we're evaluating the alternative we have. We're looking at narrow vein on mining metals, so adjusting our mining metal to the reality of the higher proportion of very nary veins we're seeing. We're talking veins about 80 centimeters to 60 centimeters. So at this point cannot have an expectation of what the result will be. We'll continue to work on that, and evaluating in the next quarter.
Botir Sharipov: And those veins are part of the reserves, right?
Gerardo Fernandez: Yes, part of the reserves. And the new discovers and resources -- their remaining resources are not. So what we're trying to do is to maximize the recovery from the resources, and be more efficient on the development and drilling.
Botir Sharipov: Okay. And I guess the last one on Agua Rica, Peter, if I may. You again talked about potential transaction there. If you could maybe help me understand what are you guys looking at? Are you looking at -- obviously you said it's a combination of cash and equity in gold production. Are you looking at the potential equity of gold production from a third party or you're looking at a deal where you'd sell probably more of a stake in copper production and retain higher share of gold production from Agua Rica potentially.
Peter Marrone: The challenge of talking about possible commercial transaction is that it is sort of like saying I want to marry someone, but then needing to make sure that it's clear that she's got to accept your marriage proposal. We have a view, we have a view of what is it, a commercial transaction here. We have said very clearly, that to get to a commercial transaction one has to look at several things. One is the quality of the asset and making sure that the technical detail is fully buttoned down. We completed that late last year and into early this year. The step then is to make sure that those who are interested and clearly the most interested should be the partners of Alumbera. Look at that technical detail and we come to a consensus view on that technical conclusion and all of that has occurred. We also looked at it and said there is a point in time at which Alumbera comes to the end of its mine life and there are significant reclamation costs at Alumbera clearly that would be borne by the larger partners. We are very modest participant in Alumbera, but we want 100% of El Gorica. And so, clearly we think that there is an integration scenario here between El Gorica and Alumbera and we think that the optimal position would be for the partners of Alumbera to engage in a transaction relating to El Gorica what we have said are goal posts perhaps if I can describe it that way or our reference points more precisely. There is one is we want to remain a partner of this aggregate venture. We are 12.5% of El Gorica, Alumbera, sorry and so we would want to maintain a percentage interest in this combination of Alumbera and El Gorica. And we are perfectly comfortable with an increase above tht 12.5%. We would like to maintain the partnership. The second is that we think that because the gold does not drive the value of this asset, that part of an equalization payment for the purchase of El Gorica effectively in addition to our continuing equity participation in the overall project along the lines I have just discussed would be to provide a gold stream. You might remember that in the deal that we did with Xstrata we were receiving 65% of the gold that should give some guidance that gold does not drive the value of this asset. And so we think there is an excellent opportunity here for value to be provided to Yamana by way of a gold stream. We'll then look at over the course of time what we do with that, there is an excellent arbitrage opportunity between the pricing at which a gold stream would be issued and what it would sell for in the marketplace, but that's over the course of time. And then we would look for some cash component as well. But taking the actions that we will take on the first two with the gold stream and with a participation in the project would reduce the amount of cash that would be required for that equalization to something substantially less than the deal that we originally did with Xstrata now many years ago. You remember in that deal we were receiving $210 million in cash 65% of the gold. So Xstrata understood the point which is when El Gorica comes to the end of its mine life the integration scenario with El Gorica is the game in town. And so we are doing now in the context of a lower copper price environment, in the context of clearly the different partners, now that Xstrata has been purchased and Glencore is that operating partner, we are looking at alternative means of getting to a quality deal that makes sense for them and make sense for us all along the line that I have just described to you. We have gone one step further and we have said this type of a deal structure what I have just described with an equity participation and let's say in the range of 12.5% our current interest to 20%, gold stream of some amount and a cash component of a lesser amount then the deal that we did with Xstrata we are perfectly comfortable if there should be some other companies that would be interested in the combination of our complex between Alumbera and El Gorica. We believe that the partners of Alumbera are the best partners because they are already there. But with this new construct we think that the deal will occur.
Botir Sharipov: Okay. Thank you for very extensive answer.
Operator: The following question is from Robert Reynolds of Credit Suisse. Please go ahead.
Robert Reynolds: Good morning everyone. My first question just relates to El Peñón, I know, you touched on it a bit but, can you talk a little bit more about the timeframe from when you would expect to be complete the studies you are looking at just in terms of maximizing free cash flow and then the potential impact on production levels from that?
Daniel Racine: Hi, Robert, it's Daniel. Like Gerardo mentioned earlier and then William also, we're drilling Colorado and it's a big part of the budget for next year and the next few years. And then we are in our budget season right now. So, we are doing that evaluation, and then we will come with guidance early next year, that work will be completed. So, we're thinking early next year, so January, February that work will be completed, we will have a lot more information on the deep zone and the actual mining, and then we will come with the new plan at that time. But right now we are working on it.
Robert Reynolds: Okay. And then just moving to Chapada, the recovery rate saw a nice uptick in Q3, I think gold was up to 60%, is that a level that you expect to be able to maintain, or was there something specific in the quarter maybe with the ore feed with resulted in the better recoveries?
Peter Marrone: No. Like I mentioned, the retrofit circuit is now in full operation and it delivered -- even now we can see in September actually and October better recoveries than the average of the quarter. So, yes, you can anticipate that recovery still are going to go up on the gold size. We have seen these in October at 70%. So, to give you an example, we have very good result with retrofit on the flotation circuit that we did earlier this year. It's same for copper. Copper also increase in the recovery. And that new project that we are going to start next year should improve another -- increase another 2% gold recovery.
Robert Reynolds: Okay. So, just thinking about a longer term target for gold and copper recovers at Chapada, what are you looking at?
Peter Marrone: 64-65 for gold, and 80 for copper.
Robert Reynolds: Okay, thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the meeting back over to Mr. Marrone.
Peter Marrone: So ladies and gentlemen, let me clarify a couple of questions that were asked, so let me clarify a point that relates to El Peñón, the new structures are narrower, the reinterpretation and in-fill of the historical structures are wider. As you are aware, we spend $25 million to $30 million for exploration per year. We do lots of development work, roughly 40 kilometers of tunneling per year at El Peñón. As Gerardo mentioned, in the new structures we are looking at the effectiveness of mining with old equipment or newer equipment to deal with the narrower veins, and we are very encouraged by these -- I used the term reinterpretation and in-fill, but these historical structures that are wider. This is a work in progress, but part of what we are looking for is how can we spend less on exploration and less on development and get quality number of ounces of production to take advantage of these narrower veins in these historical structures that allows us to be able to maximize cash flow at this operation. It will imply, or at least it could imply, that the number of ounces of production for gold will be lower than what we are contemplating this year, but overall it would be a better mine over a more sustainable or a longer period of time. From a timing point of view, we expect to be able to put all of this together. There is a lot of complicated work, but we expect to put all of this together by early next year. So with that, ladies and gentlemen, thank you very much for the time and for the effort.
Operator: Thank you. That conference has now ended. Please disconnect your lines at this time. We thank you for your participation.